Kyle Ostgaard: Thank you for standing by and welcome to the First Quarter 2025 Earnings Conference Call for System1. Joining me today to discuss System1's business and financial results are our Co-Founder and Chief Executive Officer, Michael Blend; and our Chief Financial Officer, Tridivesh Kidambi. A recording of this conference call will be available on our Investor Relations website shortly after this call has ended. I'd like to take this opportunity to remind you that during the call, we will make certain forward-looking statements. This includes statements relating to the operating performance of our business, future financial results and guidance, strategy, long-term growth and overall future prospects. We may also make statements regarding regulatory or compliance matters. These statements are subject to known, unknown risks and uncertainties that could cause our actual results to differ materially from those projected or implied during this call. In particular, those described in our risk factors included in our annual report on Form 10-K for the fiscal year 2024 filed on March 10th, as well as the current uncertainty and unpredictability in our business, the markets and the global economy generally. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on management's assumptions and beliefs as of the date hereof, and System1 disclaims any obligation to update any forward-looking statements, except as required by law. Our discussion today will include non-GAAP financial measures, including adjusted EBITDA and adjusted gross profit. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. Historical performance and future estimates provided during this call exclude results from total security. Information regarding our non-GAAP financial measures, including a reconciliation of our non-GAAP financial measures to our most comparable historical GAAP financial measures may be found on our Investor Relations website. I would now like to turn the conference call over to System1's Co-Founder and Chief Executive Officer, Michael Blend.
Michael Blend: Thanks Kyle. Good afternoon, everyone and thank you for joining System1 on our Q1 earnings call. I'm happy to share that our team executed really well in Q1 and delivered another solid quarter. Revenue, as well as our key operating metrics, gross profit and EBITDA were all above the high end of our guidance range. First quarter revenue was approximately $75 million and adjusted gross profit was $41.5 million, which is a 33% year-over-year increase. Adjusted EBITDA came in at $12.1 million, up from just $400,000 in the prior year quarter. These year-over-year comps are good indicators of the progress we have made over the last year, driven by strong execution and a lot of very hard work by our team. Our owned and operated products continue to perform well with revenue increasing 51% year-over-year. As a reminder, our primary O&O products include CouponFollow in the discount shopping vertical, Startpage in private search and MapQuest in mapping. Each of these are among the leaders in their respective category and we have good momentum across our entire portfolio. Our marketing driven businesses continue to be impacted by the Google-related product changes we mentioned last quarter. Although so far, we have done a very good job navigating the ongoing volatility. While overall marketing driven revenue is down on an annual basis, margins are up significantly and our network business in particular continues to do well. On the technology front at System1, we continue to lean in heavily on AI powered automation driven by Agentic coding. We are incorporating Agentic coding across the entire company and are using it to increase scale, accelerate product development and streamline many of our business operations. Overall, it's a really exciting time to be in technology if you're pushing heavily into Agentic coding as System1 is. If you had asked me 18 months ago what our biggest obstacle to growth was I would have said the difficulty of finding enough engineering and product resources to develop our technology. Now with Agentic coding productivity is through the roof and the biggest challenge is picking the right ideas to go after. Let's go into more detail on our owned and operated segment, which includes both our marketing-driven businesses and our owned and operated products. Total owned and operated revenue came in at $58 million, reflecting a 16% year-over-year decline and a 10% decrease sequentially. This decline was driven by a 34% annual revenue decrease in our marketing businesses which was primarily due to a decline in a non-core, low-gross-margin business segment. The marketing decline was partially offset by a 51% increase in our owned and operated products line. Adjusted gross profit was $28 million, up 24% year-over-year and down 13% sequentially from Q4. The sequential decline primarily was driven by seasonality, coming off a seasonally strong fourth quarter for shopping. Sessions across our O&O properties totaled $1.3 billion, down 32% from Q4 but up 6% year-over-year. Our year-over-year growth reflects increased scale of marketing campaigns running through our RAMP platform, as well as growth in our owned and operated properties. International markets remain a key focus for us, with international revenue representing 30% of total owned and operated revenue, up slightly from 29% in Q1 of 2024. A bright spot in our marketing-driven business is the increased scale of our marketing campaigns. In Q1, we launched over 41,000 marketing campaigns, up five times year-over-year and up from 22,000 in Q4. We continue to make large strides on advertising campaign automation, and we're focused on leveraging AI to dramatically increase the scale we operate on in the marketing side. Moving on to our O&O products, the group continues to perform well and is heavily focused on expanding the reach of our couponing, mapping, and private search services. Let's move on to some highlights in those products. I'll start with CouponFollow, which continues to be a top couponing and promo code service in Google's organic rankings. In the first quarter, CouponFollow's user sessions were up over 160% year-over-year, driven by our best-in-class experience for both consumers and merchants. We have a great flywheel going on with CouponFollow. As traffic ramps on CouponFollow, we're able to capture more data on consumer demand. We then leverage that data into better merchant deals that, in turn, improve the overall consumer experience the next time our customers come back. Now let's turn to Startpage, which, as a reminder, is our privacy-centric search engine that competes with DuckDuckGo. In Q1, Startpage user sessions grew 11% year-over-year and 7% sequentially as we ride increased consumer demand for greater privacy. The private browser apps we launched in late 2024, continue to gain traction as we integrate search widgets like mapping that improve the overall search experience. And lastly, let's talk about MapQuest, which is having a brand and business resurgence. MapQuest has had some really fun viral moments recently, with mentions on CNN and the Stephen Colbert show, driven by our Gulf of Mexico naming generator. MapQuest continues to grow user sessions, with Q1 sessions up over 30% year-over-year. The MapQuest team has been focused on enhancing our mobile apps, adding new mapping functionality, and introducing new products. Now let's switch gears to our Partner Network. Partner Network revenue was $70 million, up 4% year-over-year and 1% sequentially after adjusting for the out-of-period revenue adjustments made last quarter. Adjusted gross profit was $15 million, up 37% year-over-year and 4% sequentially. Partner Network results were positively impacted by the in-period recognition of some previously withheld partner revenue related to invalid traffic that our partners sent to us. In Q1, total active partners decreased 14% from Q4 to around 265 partners. The total number of partners was partially offset by a 7% quarter-over-quarter increase in average revenue per partner. In Q4, we had 54 scale partners, a 17% decrease from the fourth quarter. We consider a platform customer to be a scale partner when they are generating at least $550,000 of revenue per quarter on RAMP. The sequential decrease in active partners was impacted by our push to move partners to Google's new RSOC product for monetization. And on this front, the team did a great job in Q1, significantly increasing the number of partners monetizing with RSOC. Looking ahead to the rest of 2025, we remain cautiously optimistic. Our owned and operated products continue to show strong fundamentals. We've been making large strides on the AI technology front, and we're putting ourselves in a position to capitalize on the marketing side, as we begin to see a little more stability. Our biggest challenge over the next couple of quarters continues to be related to volatility with Google, which, as you know is our biggest revenue partner. Last quarter we announced that Google informed us of their plan to automatically opt out advertisers from AdSense for domains monetization, which is known as AFD. While this has created some uncertainty for us, we have not yet seen material impact to our performance or revenue from that policy change. That being said, we do anticipate Google's continued shift away from AFD to their newer RSOC product is going to continue to cause volatility that we'll have to manage and navigate over the next few quarters. As a result of this uncertainty, as well as broader volatility in online advertising demand and the potential impact of evolving tariff policies, we do not plan to provide financial guidance for the second quarter of 2025. But most importantly, we remain well positioned regardless of how these shifts evolve. We're continuing to benefit from our long-standing AFD partnership while also leaning into the momentum behind RSOC. As RSOC continues to gain traction, we're seeing new opportunities to diversify and grow alongside Google with their evolving monetization strategy. Overall, I would say our System1 team is executing very well across the board. We have quickly made the transition to become an AI-first product and engineering organization and we can see this paying off in faster execution that is also beginning to show up in our financials. As Tridi will detail below, we aren't yet prepared to give full year guidance as we plan to wait to see how the Google product transition shakes out. That being said, once we get through the Google volatility over the next couple of quarters, I believe we're really well positioned for the medium and long term here at System1. To close, I want to reiterate as I always do, System1's leadership team remains fully aligned with our shareholders. And as a group we remain one of the company's largest shareholder bases. As one example I, through my family foundation, recently purchased 4.5 million shares of SST and I believe strongly in the company's future. As System1 continues our transition back to growth mode, we appreciate your continued support and we look forward to delivering long-term value to our shareholders. With that, I'll hand things over to Tridi to go over our financials. Take it away Tridi.
Tridivesh Kidambi: Thanks Michael. We are pleased with our first quarter financial results as we were above the high range of guidance on revenue, adjusted gross profit, and adjusted EBITDA. The $12.1 million of adjusted EBITDA in the first quarter represents significant year-over-year growth and highlights the high level of execution by our team across all of our businesses, which has resulted in both year-over-year gross profit growth and ongoing G&A efficiencies, resulting in reductions to operating expenses. Let's get into the details. Q1 revenue was $74.5 million, representing a 12% year-over-year decrease and a sequential decline of 1%. Owned and operated advertising revenue was $57.9 million, down 16% year-over-year and 10% sequentially. The year-over-year decrease is driven by a 35% decrease in advertising spend, which is a result of a mix shift change between our marketing-driven business lines and our owned and operated product lines. Owned and operated product revenue was $22.3 million, representing 38% of total owned and operated advertising revenue compared to 21% of total revenue in Q1 of 2024. The sequential decline is largely attributable to an expected decrease on an operated product revenue as Q4 is a seasonally strong quarter for our owned and operated product businesses. Network revenue was $16.6 million and was buttressed by the benefit of a contra revenue charge related to the reversal of certain prior period network partner rev share payments that was related to invalid traffic sent by some of our network partners in Q2 of 2024. Revenue was up 1% sequentially excluding the gross to net accounting revenue adjustment made in Q4. Adjusted gross profit was $41.5 million, up 33% year-over-year and down 7% sequentially, primarily due to typical Q4 to Q1 seasonality. Revenue less ad spend for our owned and operated advertising segment was $27.8 million, representing a 24% year-over-year increase and a 13% decline sequentially. Revenue less ad spend for our owned and operated products was $21 million, up 53% year-over-year and down 18% sequentially with the quarter-over-quarter decline driven by seasonality. Network revenue less agency fees was $15 million, up 37% year-over-year and up 4% sequentially. First quarter owned and operated advertising sessions were $1.3 billion, up 6% year-over-year and down 32% sequentially. RPS was $0.045, an increase of 32% from the fourth quarter and CPS was $0.023, up 36% sequentially with the sequential increase resulting largely from a combination of mix shift changes in our percentage of international traffic and the networks, we advertise on. The spread between RPS and CPS was 92% compared to 98% in Q4 and 48% in Q1 of 2024. Network partner sessions were $1.7 billion, up 11% year-over-year and down 8% sequentially. Partner Network RPS decreased 6% year-over-year and increased 10% sequentially after adjusting for the out-of-period revenue adjustment in Q4.Total sessions processed by RAMP in the most recent quarter was $3 billion, up 9% year-over-year and down 20% sequentially. On to operating expenses and adjusted EBITDA. In Q1, OpEx net of add-backs were $29.4 million down 5% year-over-year and up 10% sequentially. The quarter-over-quarter increase was expected and was impacted by non-wage-related employee costs. Q1 of 2025 marks the seventh straight quarter of year-over-year declines in OpEx, and we will continue to focus on reducing costs in order to create greater operating leverage. Adjusted EBITDA was $12.1 million in Q1 versus just $400,000 in the same quarter last year. Q1 represented the fourth consecutive quarter of year-over-year increases in adjusted EBITDA. With respect to liquidity, we ended the quarter with $43.9 million of unrestricted cash on our balance sheet. Our $20 million use of cash in the quarter was primarily driven by a $13 million cash payment, related to the CouponFollow acquisition earn-out, as well as a $4.4 million outflow related to the payment of our 2024 annual bonuses, which were approved and paid in Q1 of this year. As of March 31, we had an outstanding balance of $275 million of term loan debt under our credit agreement and our net consolidated leverage at quarter end was approximately 4.6 times. We also have $50 million of availability under our revolver, as of the end of Q1. As Michael mentioned, due to evolving dynamics and announced changes in Google's absence for Domain's marketplace, along with the broader market uncertainty tied to advertising demand and other potential macro headwinds. We are currently not in a position to provide financial guidance for Q2 of 2025 or the balance of the year. We believe it is prudent at this time to wait for greater clarity on these items, before offering financial projections. But in the interim, we remain focused on executing efficiently in this dynamic environment. We remain confident in the fundamentals of our overall business. Owned and operated products are performing well and provide a strong financial foundation. Our focus on cost reduction is evident in the numbers, and we remain focused on driving OpEx savings. The volatility in our marketing-driven businesses has hindered our ability in the near term to sustainably grow those businesses. However, we are confident in the power of our RAMP platform and our ability to leverage new technologies such as AI and Agentic coding to create a long-term competitive advantage. Thanks for joining us today.
Operator:  Thank you, Tridi. We are now going to open the line for some questions. The first question comes from Tom Forte with Maxim Group. Tom, go ahead.
Q – Tom Forte: Okay. Now, I'm unmuted. Okay. So Michael, Tridi, congrats on the quarter. I have two questions. So, first off, can you hear me?
A – Michael Blend: We can hear you fine.
Tridivesh Kidambi: We can hear you.
Q – Tom Forte: All right. So I recognize you're not providing guidance on the second quarter, given the current uncertainty. But as longtime participants in the digital ad market, I'd appreciate your thoughts on the following. So, it seems like digital advertising is holding up including your own performance, and having a lot more resiliency in the current challenging macro, when you compare with prior periods of weakness where digital advertising seemed to weaken first. So, to what you attribute the change?
A – Michael Blend: Well, I would say, first of all, you're right. We're not seeing any wonkiness yet, in our numbers which is nice. What I would say is that typically in a downturn, I think a leading indicator is going to be more on the branded advertising side than performance marketing. We're much more performance marketers. So, if there is going to end up being any kind of macro downturn and really affecting digital marketing, I think we will be the last to see it. And as you know, Tom from the past, sometimes when we do see some wonkiness in performance marketing it can benefit us as well, because it drives down our buy-side pricing. But I would say, that it's probably a little early in any cycle for us to see any issues.
Q – Tom Forte: Excellent. All right. So the second and final question, can you discuss and compare what you're seeing in advertiser verticals that are likely less directly impacted by tariffs such as, health and finance and then how that compares with those that are much more impacted like autos?
Michael Blend: Sure. Really, like I said, we haven't -- we're just not seeing the big effects yet in really any verticals that you would expect would be affected by tariffs. Some of those we're not big players in, like some of the Timus [ph] of the world and kind of the shopping for products that are coming directly from China. We just -- that's not a big vertical for us. But across our range of verticals, we're just not seeing any big movement yet. That's not to say it's not going to come. That is one of the reasons why we're declining to provide guidance for the quarter as we're waiting to see how the economy plays out and what consumer demand and also advertisers look like. But so far, we're just not seeing things shift around much. Tridi, do you want to comment on that anymore?
Tridivesh Kidambi: Yes. No, I think that's right. I mean -- and that definitely was the lesson. Last time there was a major disruption both in 2022 and 2000 around COVID was in -- specifically ad formats where there's a very high measurable return on ad spend and specifically how we partner, for example, with Google, that tends to be the last advertising channel that marketers will pull because they can definitively track the ROI on that spend.
Q – Tom Forte: Good. Thanks, Michael. Thanks, Tridi.
Tridivesh Kidambi: Thanks, Tom. Thanks for joining.
Operator: The next question is from Daniel Kurnos with Benchmark. Dan?
Daniel Kurnos: Yes. Sorry, can you hear me? Also like Tom, we'll start off with the Tom question. Michael, look, obviously, I'm going to ask you about Google. So we've got remedies, plans, potential breakup of GAM. You guys are super levered through the Google network. It's probably going to give you guys a good opportunity because it's going to cause some disruption, but just love to hear your thoughts on if it starts playing out, what it means for kind of you and the ecosystem.
Michael Blend: Well, there's a lot going on in the Google side as far as regulatory issues go. As you know, there are several trials and they're starting to hit the damages phase. And I think as probably most of the people listening in know as well, any major dramatic things that would be negative for Google are probably going to be years in the future as appeals go through. What I would say is that we would welcome the more that Google -- if Google does end up being split up in any way, what we would guess is that each of those businesses probably get a little bit more competitive. And that most likely is going to be good for us in terms of if we think that Google were to lose any market share, for instance, and likely their search partner network that we are a major part of, would be looking for more revenue. Google as a whole is going to be looking for search revenue. So if you recall what our relationship with Google looks like is we're essentially manufacturing demand for them. When someone goes to Google and types in something they're searching for, that's just their organic traffic. What we're doing is we're manufacturing very similar types of demand by going on to other networks, encouraging consumers to click on ads and then ultimately expressing their demand by clicking on Google Ads. So if that part of the business were to come under increasing regulatory pressure, we would expect that Google would become a little bit more dependent and hungry for revenue from its partner base, which would help us quite a bit. Probably similar things on the display side. A little bit hard to tell how that would play out in terms of pricing on the buy and sell side, for instance, the Google Display inventory. I don't really feel like I can make a good judgment call if that would help us or hurt us. But if it helps us on the buy side, it's going to hurt us on the sell side and vice versa. If we get hurt on the sell side, it's going to help on the buy side because we play with Google on both sides of that market. So we don't really expect anything negative to come out of regulatory issues and one thing to keep in mind is we do have an independent search engine, Startpage, which is competitive with the big players out there with the Beings and the Googles of the world. And anything that would allow some of the independent search engines to gain a little bit of market share, we think would directly flow through to Startpage. So all in all, we think it's probably be a net positive for us. But obviously, we don't welcome any regulatory issues related to Google at this point.
Daniel Kurnos: And like, obviously given the other, kind of, broader pressure that I think we're seeing on the market and perhaps from the top down. We've had [indiscernible] exit the market. I know you commented on that a second ago but it's kind of left a vacuum particularly in the social space which has been plugged pretty well. We haven't seen any real challenges in PLA. It looks like eCPMs in general have been holding up in the programmatic space. But is the disruption creating any opportunity for you to go after incremental market share domestically? And then internationally the alternative is TikTok has been -- after having kind of left the US, TikTok has been a great international opportunity. It's something you and I have talked about. It feels like a great platform over there. You guys have been growing international exposure. So kind of just talk about the two different shots on goal I think that you have domestic versus international given some of the disruptions.
Michael Blend: Well, certainly, we welcome lower pricing on the buy-side. So if you have some of the big Chinese app advertisers pulling out of market particularly in the social space if I recall correctly I think that just those two companies alone were north of 10% of the meta advertising revenue. So as there's more advertisers pulling out internationally that should help us domestically. We are seeing some I would say green shoots on social right now which has been favorable. So we would in many ways welcome fewer advertisers on the social side. Same thing internationally. TikTok as you mentioned and they've got an audience network as well has been a really good source of traffic for us. We continue to lean in pretty heavily on that. We're seeing some good results internationally. I know that Tridi mentioned it's still a big part of our business and a growing part of our business. And so we don't really see any issues on -- any negatives in terms of both those areas that you talked about. And as we mentioned before we're not really heavily leveraged on TikTok in the United States. We would -- we're kind of agnostic as to whether TikTok remains in the US or not. I think at this point people are I believe generally feeling that TikTok will remain an app that's available for usage in the US. If so we'll be buying and put more of an effort behind that. But if it's not it's not really going to help hurt us in any material way.
Daniel Kurnos: And look I mean the question was definitely framed in a benefit to you not as a disruptor to you Michael just given what's going in the marketplace. Can you just a little bit?
Michael Blend: Go ahead.
Daniel Kurnos: Maybe just double-click a little bit on the productivity gains from shifting to Agentic. And look obviously you and I could have a lengthy conversation about that here but we won't for the sake of everybody on this call. So maybe just like dumb it down for people and help people understand kind of what that means? Can you more shots on goal cheaper to produce products -- either cheaper to produce creative? Anything that you want to give more color so that people can understand exactly what it means to kind of the platform?
Michael Blend: Sure. I mean it's kind of a cliche at this point. I think everybody is talking about AI and using Agentic coding to be more efficient in their business. I can tell you we've been very fortunate given the size of our company and our engineering and product teams. We've made some pretty aggressive moves to move the entire company heavily into Agentic coding. And both on the business side and on the product and engineering side. So I'll start with the business side first. It's pretty remarkable. Like I don't want to -- it's hard to overstate the effects that this is having on not only our company but I think a lot of companies in the space that are really leaning in heavily into Agentic coding. On the business side, we're seeing things like business processes related to things like signing partners up to contracts and mocking up new product ideas that business leaders may have. In the past for something related to putting together like an automated contract sign-up form for instance someone on the business side would have had to go to an engineer, go to a product designer and actually have that built. And now at this point what we're seeing our business people building that on their own. So they're going on and just using things like Claude to build their own products that speed up their business processes. And it's pretty amazing like if you walk around our company right now and you're looking at the screens of some of our business leaders you're going to see them actually developing products on their own. And that's something really amazing. I know Tridi can talk to you about we're starting to lean in on the finance and legal areas as well. But as far as the product and engineering teams go, what we did is we made a decision, it was really the -- about two generations ago of some of the Agentic coding tools, got to be good enough where we decided that we would take a lot of our engineers and just stop them developing on our core platform and really come up to speed very quickly on using these new coding tools. And what we're seeing is in many cases a 3x to 5x increase in productivity on product development. And what that's allowing us to do is move much more quickly in terms of getting products to market. It's allowing us to come up with more ideas and get more products to market. So the productivity increase is real to the point where if people are not -- if companies are kind of not leaning into this new way of developing products, they're going to be left behind quite quickly. And what's been nice at System1 is, we were fairly early in the process of really moving to this new way of product development. We're doing things like we're -- our headquarters in Los Angeles. We host like the kind of Southern California AI meet up those kind of things where we've got kind of the leading developers and leading product people that are kind of at the forefront of this -- of Agentic coding and these meetings are happening at our offices. And so I'm pretty amazed how quickly our company has transformed. And I think you're going to see that only accelerating as more and more people company-wide are using these tools, but also the tools themselves are getting much better. You got anything to add to that Tridi?
Tridivesh Kidambi: Yeah. I mean I think just specifically our ability to test new ideas and new initiatives, it's so much faster and not having to make an investment decision early. Do we need to allocate three, four, five heads or design resources engineering resources to test something. It just allows us to innovate much quicker too, which is where I've definitely seen it just in the last 1.5 quarters two quarters here.
Operator: That ends our questions. Now we're going to turn it over to Michael Blend for closing remarks.
Michael Blend: All right. Well thanks everyone for joining us on our Q1 earnings call. So nice to have a little bit of momentum here. We're glad we put up a nice Q4 followed up by a good Q1. Look forward to everybody joining next quarter, where I hope we're going to continue the momentum. Thank you everybody. Take care.